Nathan Fast: Hello and welcome to today's webcast on HIVE Digital Technologies Ltd. Financial Results for the Quarter Ended December 31, 2025. My name is Nathan Fast, Director of Marketing and Branding at HIVE. I will be your moderator for today's call. Before we get started on slide two, we would like to briefly note the disclosures in today's presentation. Except for statements of historical fact, this presentation contains forward-looking statements within the meaning of the U.S. Private Securities Litigation Reform Act of 1995. Words such as “expects,” “believes,” and similar expressions identify these statements. Actual results could differ materially, and we disclaim any obligation to update them except as required by law. For a full discussion of risk factors, please refer to our most recent SEC filings at sec.gov. In addition to discussing results that are calculated in accordance with GAAP, we will also reference certain non-GAAP financial measures, including adjusted EBITDA, adjusted net income, and free cash flow. Management uses these metrics to evaluate operating performance and believes they provide investors with additional insight. They are presented for supplemental purposes only and should not be considered in isolation from GAAP results. Reconciliations to the nearest GAAP measures are included in the appendix of this presentation and in the press release and Form 8-Ks furnished to the SEC. I will now turn the call over to Frank Holmes for a macro recap of the quarter. Frank? Thank you, Nathan. And
Frank Edward Holmes: Welcome to the show by HIVE. I have a lot to share with you as the Co-Founder and Executive Chairman and give you sort of an overview of what I am seeing in the geopolitics around the world and some of the glitches that have happened that have really impacted the crypto ecosystem. And I will give you also some what we would like to call the standard deviations that this is a great buying opportunity based just on the math of markets, that when things become overextended on the downside or upside. But before getting into this detail, I want to share with you that volatility is incredible. And it is also predictable when you take a look at it. You update this every quarter. But the S&P daily is 1% of the time. That means 70% of the time, it is a nonevent for the S&P to go up and down 1%. And over ten days, 3%. Gold is the same as the S&P 500, but Bitcoin is three times greater. That is something just to recognize that the stocks that are in technology a new innovation like Bitcoin, it just will experience greater volatility. Tesla used to have this 21% volatility over ten days until it became part of the S&P 500, but you can still see that on a daily basis, it is four times greater than the volatility of the S&P 500 or gold bullion. And we can also see here that over ten days, it is 11% is a normal volatility. Strategy, which is interesting for me is because Strategy was always higher volatility than HIVE, and now it is the daily basis is plus or minus 5%. But over ten days, HIVE has a greater volatility, which surprises me because we do not have the same balance sheet. We have a very conservative balance sheet and a very conservative, pragmatic way of managing the company's growth. So here is the team. They are all working hard. Aydin Kilic, Darcy, our CEO and CFO, the longest standing, I think, CEO and CFO in the industry. So I am very happy about that. And Nathan has joined us a little over a year ago. And now let us get into this macro recap. Here is the picture. And this picture is really important in respect that we grew our business from 6 exahash to 25 exahash in 2025. And we are 2% of the global network, and you can see that one of the investment bankers there, Jamie Brown, was on the ground floor of the creation of the idea of HIVE. And then you can see some of our directors are there. And other key employees, our Chief Operating Officer, the President of Paraguay's operations, and you can see Nico is in there. And you can see Aydin Kilic, our CEO, and Johanna Thorblat, who is the President of Operations in Sweden. We are very proud and happy that we have been able to grow this business and we still have more growth ahead in 2026. Very pragmatic and thoughtful expansion. And behind there is a five kilometer, but it is a total length of seven kilometers, five mile dam. It is the largest dam in the Western Hemisphere. It is able to generate about 14 gigawatts of electricity, half to Brazil, half to Paraguay. So we recently came up with our production in January, and that was Bitcoin produces a 191% year-over-year growth. Even though the difficulty went up, we have been able to maintain this substantial growth. And it is helped us with Bitcoin coming off over the past four months because we have these economies of scale. We have also been able to drive down our fleet efficiency. And when you see joules per terahash, that really is the amount of energy that you have to pay for that is running those machines and how if you went back the ASIC machines, how we fuel efficient. And it is really remarkable ten years ago, it was above 300 joules and now we are down with, like, Moore's law. It is only 17.5 joules. And the next generation is going to take this down to 11. So it is able to manage if you have new chips, you are able to manage the halving that takes place in the Bitcoin ecosystem. And so we are more than 2% and we are happy with that. Steve Jobs had this wonderful speech. And in that speech at Stanford, he said, you cannot you cannot connect the dots looking forward. You can only connect the dots looking backwards. So if you have to trust that the dots will somehow connect in your future, it is important that you look back. So let us look back at some of the dots that would happened to the Bitcoin ecosystem the past four months. On October 10, called 10/10, Bitcoin knockout, this is a total crypto market cap fell at $350,000,000,000 because it is alleged that is the Tyson punch, but Binance had a faulty algo that basically triggered wrong accounts whatever, and they blew out $19,000,000,000 worth of Bitcoin. And this knocked off and created a contagion. What I did not see it in front page of publications. I heard about it. I thought it was more noise, but, actually, it has come out to be quite significant. And so I am going to show you how by connecting the dots. So October 10 and our CEO, Aydin Kilic, has been at the Bitcoin conference in Hong Kong. And this made the center stage. And there was lots of combination a conversations and interviews regarding it. It is been dismissed by Binance. Naturally, would. But what I want to explain to you is that there was this flash crash. It was only $19,000,000,000. No. It is more than 10 times FTX blow up. It is really quite significant. And that triggers margin calls in North America. And then we have ETFs. The ETFs get amplified because almost $200,000,000,000 of institutional money rolled into a suite of different asset managers with their Bitcoin ETF. And they have been really hurt with a 50% decline. They just become they lose this thing called trust. And really, the fact find out that supposedly a hedge fund made $1,200,000,000 on this flash crash and other funds that were not supposed to $100,000,000 injection. Hurt, they got hurt, but Binance made them whole with there is no big positive amplification to all the ETFs that felt this stress. So this was a big conversation, and Binance comes out at the January and discusses it. But what is really important is that we have seen this before, and I know I have seen this in the futures market. Back in the early eighties. We have seen it in the gold markets, where major banks would turn around and spoof. But you would have a court system and a court system that go after those traders, and then they got charged. And they were found guilty. And then fines were paid by firms like JPMorgan. There was a that builds trust. So it is the it just there has to be a mechanism to if you have a rogue they call this algo, but I always ask why did that algo did not work on April 2? Oh, it is all because of Trump, and Trump went anti China during that time period. I think that is just too easy to go blame Trump. Because on April 2, those algos did not cause this crisis that it the magnitude that took place on October 10. 10/10. So that is what is happened. So I went back and looked at what happened in one hour with how fast it just turned around and hit. And it only grew that day. So in Consensus, Hong Kong this past week Binance's Richard Tang breaks down the 10/10 nightmare that rocked crypto. But, really, does not explain to, what hedge funds and a lot of the chatter that was there that our CEO was listening to, and giving us more color on it. It never made the front page of the Wall Street Journal, but Sam Bankman-Fried did. And this is about a factor of 10 times greater. So it is really disappointing, but it is what it is. And the CEO, he is worth $88,000,000,000 according to Forbes, and other people say he is worth 30 to $4,050,000,000,000. He has got this brilliant mind, what he has been able to do. But it does not make sense that this is an unregulated combination where the exchange and this and the investment broker is combined. You cannot really do that. The New York Stock Exchange does not own money management. It is like merging the New York Stock Exchange with BlackRock, and all of a sudden, then BlackRock has access to what the trades are and the traders know what the fund flows are doing. That is the difficulty in this unregulated finance exchange, which say they trade trillions of dollars in notional value in the Bitcoin ecosystem. So I hope that there is a better clarity on what takes place. But it is four months later, and, you know, it is interesting that they come with a explaining at the January. And, usually, when these crises happen, it is about four months later that we get a bottom the ecosystem. But what happened after this it is interesting to me in connecting the dots, is Jim Chanos comes out and short the Bitcoin miner, short the Nvidia, short the HPC, the hyperscalers. There is too much debt. And Michael Burry is coming out. He came out a couple weeks ago again. He short this market, and it really starts to grow that this negativity on the ecosystem. And you can see all these headlines. Chanos warns of AI pull back. It is Bitcoin treasury companies, Michael Burry's latest argument. Chanos is going after Michael Saylor, shorting them. Michael Burry's same thing. And all these legendary people. And to me, I just looked at I remember commenting that there is something weird that there is just so many people that are all of a sudden negative on the AI but I know that the demand is so big and the ability to build out is going to more time. So I do not see this the level of this negativity but the Binance breakdown of the ecosystem that flash crash was part of this. And I always loved this scene. It is from the Superman movie at the time, and it is basically saying where they have these monkeys that are out there making all the chats on Instagram and YouTube and X and and this is about Superman's credibility is being destroyed. Well, the same thing happened out of nowhere. All this negativity was showing up on Instagram and YouTube and X. And so I just it was a short-term fuse, but you look for as a money manager, is this sustainable? Is it real? And it became the trade. Well, let us look and connect the dots. We go back to October 10, and you can see starting at the October, the stocks have this big rise and CoreWeave goes through the roof. And we see HIVE is on a tear rising up, and Marathon has the bounce, and we see Core Scientific is rallying. But then after October 10, starts this Binance algorithm. It is like COVID contagion to tech stocks. And you can see what took place with this domino effect, and this impacted Bitcoin prices coming off. And I still see every day on CNBC, regarding the negativity of the hyperscalers, and the Bitcoin treasury companies. There are these inflection points that happen. They last about four months, and then we have another cloud that happens at the same time. The U.S. Senate committee delays the crypto bill after opposition from Coinbase, Brian Armstrong. Why? It is because a lot of the banking system in America is not really cognizant of China's war against the U.S. dollar. They are just not aware that China has taken the BRICS nations and weaponized that trade is not in U.S. dollars. It is in the yuan. And do not own one, enforcing and pushing that these central banks devalue basically, sell their U.S. dollars, and now we are seeing gold become the biggest foreign exchange in many of these countries' central banks. And we are seeing now the thought process of offering a reward mechanism, or would it be like a money market fund for stablecoins so that the U.S. government would be able to have their stablecoin and places like Coinbase, they would be able to pay, they call it rewards, but, really, to me, in the money management business it is like a money market fund. But it is very significant for the growth of mutual funds and then ETFs. This would be very significant for the crypto ecosystem and also for the U.S. dollar because we have seen the success of Tether. Tether's phenomenal that bad countries, bad policies, like Venezuela, like Argentina, Lebanon. You can see that Turkey, the currencies are being devalued, and so people turn around. They bought Tether stablecoin, and they are protected with U.S. dollars. Now they have been the Tether gold coin basically has been growing at a phenomenal rate. So we could see hundreds of billions of dollars going into those the success of what Tether has. But Tether does not pay a coupon and therefore, it is not a money market fund, and therefore, it is not a security, so it is able to become a dominant, like a U.S. dollar currency that people can digitally move money all around the world without the big banks turning around and delaying the payments and saying they are AML, KYC concerns, etcetera, which is rightfully so. But it is becoming just so onerous to move money around. Especially between countries, and repatriating. So if I am a worker here from Mexico and my family needs money back in Mexico, I can do it much faster with a stablecoin. I can much faster than any other way, and the repatriation of that money helps these other families in other countries. Well, along comes the stablecoin, and Coinbase wants to pay rewards. They want to basically make it it is a money market fund. The banks do not want that because they want their stablecoin to get big before they turn around to allow a coupon, and they keep saying, what will cause a or a crash, people will leave the banks, and they will go to the stablecoins because they are paying a coupon. It will hurt banks. You know what? I listened to this, and it happened a long time ago. When banks were not able to pay the coupon in 1980. As interest rates soared to 20%, but money market funds were. And money market funds grew dramatically, which only helped the growth of mutual funds and equity funds. So there was not a big loss to banks. But what did happen is the S&Ls they were allowed to pay a higher yield, and the banks did like that, and they grew. Then you had an S&L crisis. So I think it was not a bank crisis so much as the banks do not want competition. They do not want this fintech and really Bitcoin is a spoke in the wheel of fintech. Coinbase is a critical spoke in that wheel of building fintech around the world. It is the way in my opinion, as a money manager looking at what is going on. We are just going through this process. I think that paying rewards it will win, it will get through, and this will be the reprieve. But it is a battle between self interest of the banking industry and lobbying groups and fintech growing. So we have this backdrop. We have the carry trade unwinding, which is about $500,000,000,000 throughout the month of December, especially January. So that is been behind us now. We have the Binance igniting a huge meltdown in the Bitcoin ecosystem breaking that trust factor. And then we have this last bit Coinbase. Well, let me share with you. We are down two standard deviations. And it is only happened a couple of times. You can see when China did its attack on the crypto ecosystem, and we had Bitcoin fall and the miners fall, America ended up benefiting becoming the biggest Bitcoin miners in the world. Then we had the Celsius, the FTX blowed up, and we saw the prices fall one and then two standard deviations. Now we are down to 1.64 standard deviations, and that says to me that mathematically, what is one standard deviation over a 20 rolling date period? It is about 17%. So it is suggesting here that we could get from here a rise of 30 to 40%. We could get a higher rise if the act gets passed and where they can pay rewards on stablecoins, that would be a big boom, and we would probably see this go up two standard deviations. You can see that in a bullish cycle, goes up two standard deviations more than it falls. But we are at a point of accumulation as the smartest option not to capitulate and sell out. So then I asked, let us look at HIVE. Same thing you can see that HIVE was up at the very top here, going into the October. We had a big run because we went from 6 exahash to 25 exahash, and the world loved it. And we are going through this rerating until the Binance faulty bot they have, blew up their system. And then we fell. And we had a rally, and we are down once again over one standard deviation. And I think that we are an attractive buy from based on just the math of markets. Something else that is really important, we have never leveraged our balance sheet with incredible debt to go buy Bitcoin, or to go and do, contracts with for high performance computing. We have not done that. Because we are conservative, because we know the volatility. We know that building out tier three data centers is fraught with construction difficulty. You have to be very pragmatic and thoughtful. And so we have not done this huge debt financing on our balance sheet. But what we have done is is what we make the press release today is is that we are HIVE is not chasing AI fairy tales. It is building towards a $140,000,000 annualized GPU cloud revenue from measured steps. Today's $30,000,000 two-year contract secures the initial 504 GPU managed to to over rollout. In partnership with Bell Canada, lifting HPC ARR and reason why I share this with you because a year ago, we had a run rate of about $1,000,000 a month, then we got it up to pushing $2,000,000 a month. And this is going to take us to $3,000,000 a month, and our long-term vision is $2,000,000 million dollars a month. And we are doing it in a measured way. This is a tier one data center we bought. It is going through the transformation to tier three, and we get people knocking on our door that we know that if we had it up and running today, we have contracts for five years to buy just give us big contracts. So it is interesting. Our strategy is just different than other people that are going out, getting a hyperscaler, giving you about a $0.14 look at the math of this, a ten-year contract, a fifteen-year contract, but we are trying to get as much of the upside besides a tier HPC, colocation that we know we have been able to build with high margin that people around the world. We have built 10,000 customers in 80 countries are using our chips and mining by the hour. Some give us contracts for longer time periods. What we are seeing now is that once this is built, this will be solved. That I mean, we will sell the asset, but the demand for our GPU chips at much higher prices than where Bitcoin revenue is per hour will be done. So we feel very excited about it and straightforward of how our vision it is just different than other people. And that is where we are staying focused. This is another build out. This is the data centers that we have. And as you can see, we have them in New Brunswick, and this will go through a conversion. We bought more land. And this will go from 70 megawatts. What is interesting is it will be about 50 megawatts. We will actually be able to do the HPC because a lot of people do not realize that when you go from a Bitcoin mining to tier three HPC or tier four, the bulk of your energy is used for air conditioning. 40%, not 5%, but you are now 40% of the electrical bill because those NVIDIA chips consume a lot of power. They give off tremendous amounts of heat. You have to be up 24/7. It is a very different business model. But we are plotting along, and we feel very good about and our President is seeing nothing but big demand coming in. If we were up and running today, everything would be taken for our chips at very attractive contract prices. So it is now about being pragmatic. You get your chillers you start, you have to preorder because the transformers, there is a backlog for transformers. There is a backlog for the for the equipment you need for building substations today. There is a backlog for the special server racks in which you find now with HPC with the NVIDIA chips, the server racks are heavier. So now you have to build cement floors that are thicker. And so it is not easy to say, okay. We will just convert. No. It is very thoughtful. And that is what we are doing as we are managing our cash. This is to share with you that data centers are continuing to grow. And they are a very big part of the GDP growth in America. And the GDP growth in Canada. And what people have to be listening to is that it is not just OpenAI that is looking for these data centers. It is also the military spend, and the NATO countries have now gone to 5% of their GDP. Well, a lot of the new weaponry needs data centers that are high performance computing. And if it is military, they need tier four, which is another level of security and backup. So we see globally the demand for these data centers is not just these wonderful new platforms like Perplexity or Claude and Grok, I love Grok, I love Claude, and OpenAI. It is military spending, and then you have countries are saying, you know, we only want our data centers and data in our country. We want it sovereign. So this creates another pent up demand. And so we think we are in the sweet spot of being the biggest player in Canada at this stage, and we will grow this and move this and we will become the biggest player in Paraguay is our vision. This is just to give you some color about the hyperscalers are ramping up their CapEx and this gets all this negative news. And I think that who is making this negative news is just really helpful for a short-term trade of being short. But the Metas and the Microsoft, they have not been spending, a web that there was Oracle too and CoreWeave. That spending will continue, and I see the reason for it is the backup demand is just immense. So here is to give you an idea of the future shock, the scale and speed of AI's disruption. A $100,000,000,000 hyperscalers are pouring into the AI infrastructure. That is just in America. You have to think about the rest of the world. $25,000,000,000 market impact revenue shift from NVIDIA dominance to Chinese domestic chip makers. These are all big real issues in the global race. What China has done for the past ten years has exploded in sources of energy. They have been building hydro dams. Spain has been unwinding hydro dams, 2,000 of them. Relying only on solar and wind, and that is created their own energy crisis. But you are not seeing that in China who continues to build from hydro and dams a rerouting water from the Himalayas down the rivers to basically create these massive dams and this hydro so now they can ramp up their data center business. Here in America, we have got more HPC data centers, but we have got to ramp up both sources of energy and be innovative and creative with that. And now it is nuclear energy is cool. Now nuclear energy is not the bad word. So things are changing, but the idea, it is unprecedented, and every year I spend a week at Harvard with 180 CEOs from 80 countries doing cases, and it is interesting to see that AI dominated all the cases. A leadership disruption, what Microsoft had to do in Europe, Greece is now trying to do a huge educational push. OpenAI is partnering with them. The Onassis Foundation is partnering, a former McKinsey consultant went to Harvard. They are doing everything to fast track the kids' education so that they can participate in this growth in OpenAI. And anything to do with AI. This is recognized in the future demand for accelerated computing and graphics processing, and NVIDIA began designing GPUs specifically tailored for the meet these needs. You know, their big move was for pivot was 2010, and then Harvard one of the cases was on Jensen. And what I did know is that Jensen's parents sent him to a private school in America and they did not realize it was a reform school, a Baptist reform school. So that made it really get tough and resilient, and that is what the whole idea of NVIDIA. But they made this big pivot in 2010. We are talking about, what, sixteen years ago. And then AMD is now related at the CEO of AMD was a part of another case, and she is related to Jensen. And she has a PhD electrical engineer from MIT. And as part of their pivot in AMD is to go in this space, but they are still far behind where NVIDIA is. So I think we really are in a secular bull market on the adoption and the build out necessary for AI. And to stay you know, look to buy the dips. I want to think of these investors Two Sigma Investments. There is a quant shop and Chicago Park Employees, and Tidal Investments. Citadel Advisors, Schwab Corporation, that is individual investors. And it just amazes me that Schwab gets sold down and all the fintech just recently, this negative narrative because fintech going to be disruptive with AI for all their client business. I do not think so. I think if anything, AI is going to probably help on the overall compliance and the complexity of compliance and monitoring and things like that. And we are seeing KPMG has to be honored by independent auditors, and KPMG is going after their auditors for not getting lower audit bill for but the KPMG is ahead in using AI. So to say that AI is a bubble and it is all over, is just market chitter chatter for trading, to short. And so I remain very, very bullish. There is Aydin with Chief Minister in Paraguay. Very important in the overall business development. To be very close. We regularly go meet with ministers in Paraguay. Our President, Gabriel Lamas, and I met with the ambassador from Paraguay, who is based in Washington DC, what their vision is, and they have a big vision of making Paraguay the dominant AI infrastructure build out for all of Latin America. They need other sources of electricity. They know that. They hope to attract solar farms and solar independent electrical grid. They are looking at they changed totally, the cost of energy is dropping. Long-term contract, something they did not give when we first went there, but now they are. We are building out tier one data centers so that they are the runway for tier three. During this process from tier one to tier three, you need to get dark fiber built with the country, just like we know this has to happen in Eastern Canada. You cannot move the data from tier three data centers around the world unless you have dark fiber because these large language models have so much compression of data in them. So that is what we are doing. Now I want to turn it over to Aydin Kilic to really give you an in-depth analysis of the company. And I hope that my presentation today is to give you some color about this incredible meltdown that is happened, what was the catalyst, we are probably mathematically at the bottom. And, hopefully, going forward, I believe that we are going to trade much higher and HIVE is in a strong balance sheet position to monetize that growth with 10 exahash, in Paraguay and huge upside in Canada, Sweden, and the HPC business. Aydin take it away.
Nathan Fast: Frank, thank you very much for the insightful macro summary. And now for an executive overview
Aydin Kilic: Of this quarter. Now it was a really exciting quarter for us, and this is a photo from a recent visit to Paraguay. This is Minister of Foreign Affairs for Paraguay, Ruben Ramirez Lescano, who you may have recognized in the recent Status of Forces Agreement signing between Paraguay and the USA, with, of course, Secretary Marco Rubio. More on that later. Okay. So it was a record quarter for HIVE. $93,000,000 of total revenue. Of that, $32,000,000 of gross operating margin. Now while we did have a $91,000,000 net loss, that was mostly non-cash charges, $57,000,000 in depreciation. Of course, we brought on a lot of new hardware online in Paraguay. We scaled to 300 megawatts. And also a $31,000,000 non-cash charge on change in fair value derivatives, a multi driven by changes in Bitcoin price. On an adjusted EBITDA basis, $5,700,000 and ending the quarter with 481 on the treasury. So again,
Nathan Fast: Record
Aydin Kilic: Revenue for HIVE, and really proud of the team. Let us jump into the next slide. On an annualized basis, we realized $385,000,000 ARR for the quarter. 879 Bitcoin mined, we realized 25 exahash of installed capacity operate an average of 22.8 exahash for the quarter, as we had ramped up towards 25 exahash. And with the colder months, you have some temporary curtailments due to the very cold weather in the Canadian operations. New Brunswick can occasionally Le Chute, but very happy Paraguay was performing with nearly a 100% uptime. And of course, being the Southern Hemisphere, when it is cold and there is cold snaps in the North, in the Southern Hemisphere, it is actually summertime. So being geographically diversified has its benefits. Ladies and gentlemen. 440 megawatts of operating capacity with an additional 100 megawatt PPA. We announced the signing of that late last year and long lead items such as transformers have been ordered, and we expect that to come online September. Now on the Buzz side, another very solid quarter. Looks like $5,000,000 revenue for the quarter, keeping track to the $20,000,000 ARR. And we are on track to reach our target of 11,000 GPUs on the BuzzCloud by the end of this year. Currently, 5,000 GPUs will be adding 6,000 this year. As well that target of $225,000,000 ARR between the GPU cloud business and the 70% increase to our HPC ARR the $20,000,000 ARR will be at $35,000,000 ARR at the end of this quarter. And that comes from the signing of a two-year contract for our incoming NVIDIA Blackwell B200 GPUs. So we announced November that we ordered a 63 node cluster of NVIDIA Blackwells. Were destined for Manitoba, our first site with BEL. These GPUs are now fully contracted. We are receiving a deposit this week. And the GPUs will go live this quarter in March. And therefore be cashless. We will be ending the current quarter period in March 31 with $35,000,000 ARR again, which is a 70% increase from the current quarter or reporting quarter of December 31. So huge news. Darcy Daubaras and the Buzz team have done a phenomenal job. And I also want to point out that this is a very nimble, agile, CapEx-light strategy that allows us to scale the GPU cloud business with the infrastructure that BEL Fabric is bringing online and we have had very, very attractive single digit lease-to-own financing on the GPUs themselves. So no CapEx upfront for the GPUs. The entire full value of the GPUs we are effectively leasing with a $1 buyout. So it works out like a finance like, when you finance a car, with zero down and single digit interest. So very attractive. Again, Craig and the Buzz team have done absolutely tremendous job. And more great news to come. Please stay tuned. Let us hop into the next slide. We have a vertically integrated growth strategy. We have the land, the power, the data whether it is ASICs or GPUs. We build, we operate, and we optimize. So on the Bitcoin mining business this quarter, we realized $150,000,000 ARR, mining approximately 10 Bitcoin a day in our tier one data centers globally. In the HPC business, as mentioned, our new benchmark is $35,000,000 ARR in the current quarter. March 30 and March 31. And that will scale to $225,000,000. We are going to have a closer look at that very shortly, and that is a tier three data center strategy. Another nice Easter egg that we are providing this treat an update on is we realized $14,000,000 of value from our Bitcoin pledge. You may recall we had a substantial amount of Bitcoin almost 1,400 Bitcoin pledged at 87,000. What that meant was we put up our Bitcoin at 87,000 to buy our ASICs, which was for expansion to 25 exahash in Paraguay. Once that Bitcoin was pledged, at 87,000, that was it. However, we had option to buy back the Bitcoin at 87,000, when Bitcoin rallied above that price. And so we did that and realized $14,000,000 of values, which is great news. And call that our dynamic HODL strategy. We are going to provide a bit more color, but I just want to clarify. There is no cash call. There is no obligation. There is nothing like that. It is a free call option is what it was. Locked in the price at 87,000. Any upside beyond that, it was at our discretion, our call option to exercise. We crystallized the $14,000,000 of value. So very exciting news. Next slide, please. An overall footprint of the HPC various operating jurisdictions, data centers, and you can kind of see how it ramps up $225,000,000, which is the target for the end of this year, between GPU cloud and HPC. The HPC conversion would be for New Brunswick to be converted to 50 megawatts of critical IT load as a tier three data center, adding $85,000,000 of ARR to $140,000,000 coming from the GPU cloud spread out over the various Canadian facilities. And showing how we increment from the current 5,000 GPUs to 11 GPUs. Again, we recently announced that 504 GPU contracts. So let us go to the next slide. So here is what the growth of the HPC revenue looks like on a time series basis. We provided this projection last quarter as well. And as you can see here, for every 1,000 V200 GPU cluster, we would be adding $20,000,000 of ARR. Now keep in mind, the prevailing market rate at the time was about $2.20 per GPU per hour. And so this ramp from $20,000,000 to a $140,000,000 ARR came along with 6,000 NVIDIA V200s being brought online. And then in addition to that, the $85,000,000 estimated ARR from the conversion of New Brunswick to hyperscalable colo. However, next slide, please. Due to the very strong market demand the realized value of the GPU contract that the Buzz team secured was 30% above forecasted prices. So what that means is where we previously projected $20,000,000 ARR per thousand GPUs, we realized $15,000,000 of ARR for 500 GPUs. So that is tremendous. 30% above forecasted. Again, this is liquid cool GPUs. And this works out very well. Here is an illustration of what that does for our projected revenue. Let us hop to the next slide. I do want to say this is a potential and the team did a tremendous job. There is strong market demand right now. And so this is a blue sky slide where if we were to scale the rest of the 6,000 GPUs at the same rate that the current deal was secured at, it would actually bring the GPU cloud ARR potentially up to $200,000,000 by the end of this year. And then in addition to that, roughly $85,000,000 from the NB colo $285,000,000 potential. Now again, we are going to stick with our baseline projections on the previous slide. Just tremendous job by the Buzz team, where they realized the 30% higher contract value due to driven strong market demand. But it is not just having strong market demand. Let us hop to the next slide. Craig and the team have done a phenomenal job building out the Buzz HPC cloud, which was awarded bronze on ClusterMax, which is in very good company with other very reputable clouds in the bronze category, and you will note a lot of peers actually were in underperforming or even unavailable and some very well known clouds in those categories that Buzz outperformed. Next slide. And you know, I recently had a call with an analyst who did not quite grasp what that meant. Well, when you are just renting GPUs bare metal, what that means is you know, the user has to use an SSH key to get secure access into a GPU environment. They have to install the operating system, and really, it is just bare bones. And so not everybody, if you are a model builder or researcher, that is different. That is you know, loading up an operating environment and festering GPUs yourself is different than actually doing your LLM work. So what you want is this to be done for you. So you are getting a managed AI service. You have Kubernetes. You have Slurm, and these are two integral components to having a proper cloud. So it is very easy for you to have this elastic GPU resource for whether you want one, eight, 32 GPUs, when they are properly orchestrated, they all work as one elastic computing resource. And so that is virtue of having proper cloud technology, which the Buzz team has done a remarkable job. And so that is how we are able to attract these great clients and have strong demand. So, again, phenomenal job by the Buzz team, and really I think there is going to be some more exciting announcements in the months to come. So stay tuned as we execute and march toward those revenue growth targets. Next slide. So on the Bitcoin mining side of the business, for the recent month of January, we did about 9.6 coin a day, again, 440 megawatts globally. We lead the sector in low G&A per Bitcoin mined. Maintaining optimized ROIC Bitcoin mining model. Let us go to the next slide. So as you know, we have got another 100 megawatt PPA that was announced in Paraguay. Paraguay is very strongly aligned with the U.S. In December, Minister Ruben Ramirez Lescano signed the Status of Forces Agreement with Marco Rubio Secretary of State for the U.S., in a very momentous occasion. So it just shows a very strong alignment between Paraguay and the U.S. And Paraguay is really emerging as I believe, one of the strongest U.S. allies not only in Latin America, but globally. The SOFA, Status of Forces Agreement, is only held by a handful of countries globally with the U.S., and so really emphasizes Paraguay as a stable and safe jurisdiction, for foreign investment, and we see a very bright future tier one and tier three data centers in Paraguay. Stand by for some very exciting updates over the course of the next few months as well as we continue to have very bullish outlook on our investment and expansion into Paraguay. Next slide, please. This is a summary of course, our 440 megawatts of operating capacity worldwide. And then the additional 100 megawatts will be bringing on. It is actually phase three of our Iwazoo site in Paraguay. Next slide.
Frank Edward Holmes: Okay.
Aydin Kilic: Here, we are going to talk about that $14,000,000 in realized value from Bitcoin pledge. So as we previously discussed, we had pledged Bitcoin at numerous prices and we had a large pledge of approximately 1,400 Bitcoin at 87,000. So what that meant was we purchased our ASICs, we put up Bitcoin, it was 87,000. And we had the opportunity to buy it back at that same price. We redeemed our Bitcoin at 93,000, at 110,000, and at $123,000 with respect to the pledge and on that we realized a value of approximately $14,000,000. Then we took that realized value and translated it into approximately 3,800 Bitmain S21 XP air cooled, which then replaced our BuzzMiners, which very recently, as we have seen a contraction, has price, those Buzzminers have faithfully served us for years and years. Approaching end of life. They have been upgraded. And so what it did is it upgraded and increased our global fleet efficiencies from 17.5 to 15.7 joules per terahash. What does that mean? We used our pledge strategy to get a cashless realized value of $14,000,000, turn that into over 3,800 new generation ASICs, and effectively lowered our global cost of mining in a bear market by 5% through dynamic HODL treasury management. And so it is just how we operate at HIVE. We are again, deeply analytical. We very much study hash price. And a dynamic collateral strategy that allows us to realize value beyond our mining, but also through treasury management. So I hope this is really helpful for the analysts. And in addition to that, we still have 540 Bitcoin at the 87,000 strike price. Now with Bitcoin at about 66,000 as of time recording, mean we have to put up any money. It is downside protection. We already did not pledge a Bitcoin at that price. So in the current climate, it is downside protection. If Bitcoin happens to rally in the next couple months beyond 87,000, we can realize further value. So really happy with how this all played out again in been through numerous bear markets. I have just been through Bitcoin halvings. And Ethereum. We built our own ASIC miner with Intel. You learn a lot along the way. When you have been through it all. So let us hop into the next slide. Of course, mining economics have contracted a bit. We had the calamity from 10/10. You know, the structural errors where you know, the collateral coins held by Binance were effectively shorted and that led to auto deleveraging on October 10 and Bitcoin dropped from under 2,620 a 105,000. But moreover, all those auto deleverage positions you know, a lot of people got washed out. Binance put up $300,000,000 to make some people whole. A lot of retail investors took a hit, though. And recently Binance put a $1,000,000,000 to help Bitcoin at the $60,000 floor. So really, it was worse than the FTX crash. And it is just for people to be aware why did why did Bitcoin sell off. And, again, there is obviously broader market headwinds where we have seen a risk-off environment. And so as a result, we have updated the annualized mining margin analysis for all the shareholders and anyone watching this podcast. So at $30, $35, and $40 hash price, here are your projections. So current difficulty of a 126,000,000,000,000, with Bitcoin at 60,000, the left column, you have got a $30 hash price. Walpole where it is today, Bitcoin is about $35 hash price. And if and then with Bitcoin at 80,000, via $40 hash price. So let us just start on the left call. Even in a more bearish scenario, $30 hash price the way, we did see hash price flip down to $27 in last week when Bitcoin hit down to $63,000. Keep in mind, difficulty was still a 141 back then. We saw flash crash at $27 hash price. And so, anyway, I just want to give context. Where has hash price been? Has it been as low as 30? Yes. For a moment in time. Nevertheless, we project it. Even at $30 hash price, we still have an annualized mining margin after direct operating costs of about $90,000,000. So it is still healthy margins. At $35 hash price, that 90 margin is under $135,000,000. And at $40 hash price, $180,000,000. So, this helps you have an outlook of what it could look like in a contracted Bitcoin environment. You know, like, you know, I saw Richard Tang, the CEO of Binance, actually speak Consensus Hong Kong. Today, actually. And you know, his accounting of it, he was quite stoic, and he mentioned that you have these near term measured in months and these calamities that that happen in crypto. But, you know, when you look at the year's horizon, you know, the asset class consolidates and has grown in value. So it is another headwind that we will navigate. Again, having low G&A you know, a very best-in-class mining operation amongst our global sites. And great fleet efficiency. Again, that upgrade of ASICs was done on a cashless basis, $14,000,000 in realized value. I am very proud of the HIVE team for all of the great scaling and very judicious and, in my opinion, expert level Bitcoin mining. Next slide. Just again, this is a really helpful visual, just sort of like a math textbook. What is the fundamentals of Bitcoin mining? You know, a lot of people understand it, but do they truly understand it? And so really, what you are trying to do is ROI in the first year to year and a half, and that is shown in the blue section. Your hash price does eventually commodify as more hash rate comes online. And there is an implicit breakeven and therefore end of life cycle. So your power cost, as that goes up and down, the higher power cost, the shorter your x axis, your horizon of useful economic life, lower your power cost, the longer you can mine. Therefore, the longer you can free cash flow. So anyways, it is just something to be aware of of how does crypto mining work. And by design, yes, you do. Upgrade your machines every three to four years, but we run them for as long as possible. Keep in mind, our BuzzMiners, those came online in 2022. So all those BuzzMiners have been mining for almost four years now. Let us hop into the next slide. Again. You know, a big part of our ROIC driven ethos also having low G&A. And so let us go to the next slide. Not all of our peers have reported yet, but just based on those that have, again, lowest G&A in the sector. By the way, I do want to point out, if you compare on our on a year-over-year basis, our G&A is up about 80%. However, our revenue is up over 300%. It is over tripled. And our corporate margin is about $30,000,000 this quarter. It is up about 40x from a year ago when the corporate margin was $700,000. So the point is even as we have scaled the business dramatically, our G&A has not grown nearly as much. And so, again, we maintain that lean and mean mindset. And by the way, we have a Bitcoin mining business and an HPC business. So very proud of the entire executive team. We have had a couple over nine time zones every single day. We are in two hemispheres. We are in multiple continents. Let us go to the next slide. Also, best value. If you look at our peers where they are trading on a EV to exahash, it would place HIVE with a $3,000,000,000 multiple. Everybody is going to say, yeah. But everybody else has HPC and landing power. So do we you know, refer back to the tremendous growth that we are experiencing and that we further have projected for the rest of the year on the HPC business. Even in the and stable and steady cash flows. Sort of temporary bearish Bitcoin mining climate that we see. And, of course, Bitcoin, a very cyclical asset class, you really make hay when the sun shines. And so we will be ready for the next bull run when it comes. But in the meantime, we will be cash flowing. Next slide. Darcy. Longest standing CFO and crypto mining, over to you. Thank you.
Frank Edward Holmes: Thank you, Aydin.
Darcy Daubaras: And good morning, everyone, and thank you for joining us today. I will be walking you through the highlights of the quarter. We are providing certain non-GAAP measures in our presentation today. The company believes that these measures, while not a substitute for measures of performance prepared in accordance with U.S. GAAP, do provide investors with an improved ability to evaluate the underlying performance of the company. These measures do not have any standardized meaning prescribed under U.S. GAAP and therefore may not be comparable to other issuers. Further details are found in the Management Discussion and Analysis for the three and six months ended 12/31/2025. Starting on the next slide, HIVE ended the 12/31/2025 quarter with 243,100,000 shares, 2,600,000 options, 13,600,000 RSUs, 3,000,000 warrants outstanding. I will now walk through our financial results for the quarter ended 12/31/2025 beginning with key operational and financial metrics. Q3 represented a quarter where we continued to execute operationally while navigating market volatility in digital assets. Our focus remains consistent. Disciplined capital allocation, operational efficiency, and cash oriented returns on invested capital. Let us start with the headline financial outcomes on the next page. For Q3, we generated $93,100,000 in revenue, approximately 95% coming from hashrate services on our Bitcoin side and nearly $5,000,000 contributed by HPC operations, demonstrating the scale we have achieved as we continue ramping toward higher hashrate HPC expansion. Adjusted EBITDA remained positive at roughly $6,000,000 reinforcing that our operating model generates cash, despite cyclical pricing conditions. Operational output remains strong with approximately 1,184 Bitcoin equivalent produced, which is up from 719 in the prior quarter, supported by stable operations, strong uptime across our sites and the execution of our Paraguayan expansion. At quarter end, we held 481 Bitcoin on the balance sheet, reflecting our hybrid strategy of liquidity management and strategic digital asset exposure. These numbers reflect disciplined cost management, a focus on efficiency, and the benefit of our diverse global footprint. Now let us, on the next slide, take a look at how this operational performance translates into our balance sheet. HIVE takes pride in maintaining a healthy balance sheet. Turning to liquidity, we closed the quarter with approximately $14,000,000 in cash, and $14,000,000 in digital currencies, bringing total current assets to about $91,000,000. Current liabilities stood at approximately $52,000,000 providing us with a healthy working capital position. This balance sheet supports our dual growth strategy, expansion in Paraguay and scaling our subsidiary Buzz HPC while maintaining financial flexibility. Our strategy remains conservative on leverage and disciplined on capital deployment. With that context, let us look at how our earnings metrics have evolved starting on the next slide. Shifting our focus to our gross operating margin, on a year-over-year basis, comparing the results of this quarter to Q3 last year, our gross operating margin, which is calculated as total revenues, minus direct operating and maintenance costs and HPC service fees, increased to $32,100,000 in the most recent quarter compared to $5,300,000 in Q3 last year. In this most recently completed quarter, we are reporting a basic loss of $0.38 per share compared to a net income of $0.53 per share reported for Q3 last year. This reduction in earnings per share is largely driven by non-cash accounting impacts such as the accelerated ASIC depreciation tied to our expansion in Paraguay, unrealized losses on investments and digital currencies held on the balance sheet, and changes in the fair value of derivatives. Taking a look at our revenue increases year over year on the next slide, we generated total revenue in fiscal 2026 of $93,100,000 versus $29,200,000 in the previous year's third quarter. On a year-over-year basis, revenue growth was supported by higher production scale and operational uptime. Year over year, we saw a significant improvement in gross operating margin expanding from roughly 18% to about 35%. This reflects the benefit of our efficiency initiatives, though it continues to move with Bitcoin pricing and network difficulty. It is important for investors to understand that our margin profile is heavily influenced by external variables. Whether this be hash price, power costs, and market volatility, while internally, we continue to focus on controllable drivers like uptime, fleet efficiency, and SG&A discipline. Even in volatile market conditions our goal is to maintain a structurally stronger operating model. We are focused on expanding the structural margin, not chasing cyclical upside. And if we zoom in to just the last two quarters, you will see our continued strength on the next slide. Comparing our current fiscal Q3 quarter to the previous Q2 quarter, we generated revenue in fiscal 2026 Q3 of $93,100,000 versus $87,300,000 in the previous quarter. A slight increase in revenues versus the prior quarter was impacted by continued increases in exahash capacity from Paraguay in spite of digital asset price movements and changes in network difficulty. Our gross operating margin decreased to $32,100,000 or 35% in the most recent quarter compared to $42,400,000 or 49% in the prior quarter's comparative. These quarter-over-quarter comparisons show margin compression relative to Q2 primarily reflecting digital asset price movements, and timing effects rather than structural changes in our business. Operationally, our facilities continue to perform well, strong uptime and efficiency metrics. What you are seeing here is market sensitivity. This is economics of the cycle, not a change in the trajectory of the business. As we scale toward higher hashrate, benefit from ongoing efficiency upgrades, we expect operating leverage to improve over time. And on the next slide, I would like to remind our stakeholders our net income is comprised of our operational earnings, or cash flow, plus our investment earnings, which includes realized and unrealized earnings, which often includes non-cash charges. Our adjusted EBITDA for this quarter ended 12/31/2025, was $5,700,000 compared with adjusted EBITDA of $82,900,000 for the 12/31/2024 period. The largest contributor to the high adjusted EBITDA in the prior year was a $77,400,000 unrealized gain on digital currencies. I will highlight again that adjusted EBITDA is a non-GAAP figure. For this completed quarter, we experienced a loss of $91,300,000 compared to a net income of $68,200,000 the previous year comparative. On earnings, year-over-year comparisons include significant non-cash impacts. Specifically, we have accelerated ASIC depreciation tied to the Paraguayan expansion which reduces accounting earnings in the near term. This accounting treatment aligns depreciation with asset utilization and does not materially impact cash generation. Adjusted EBITDA, therefore, often provides a clearer representation of underlying operating performance. On the next slide, the quarter-over-quarter view tells us a similar story. Quarter-over-quarter earnings are affected by depreciation timing and fair value adjustments related to digital assets. Our adjusted EBITDA in this 2026 was a profit of $5,700,000 versus adjusted EBITDA profit of $31,500,000 in the previous 2026 Q4 quarter. In the 2026, we experienced net loss of $91,300,000 compared to net loss of $15,800,000 in the previous 2026 Q2 quarter. Operational KPIs, including uptime, efficiency and production remained strong throughout the period. Our internal focus squarely on cash, ROIC rather than accounting volatility. Accounting noise should not be confused with operating performance. Q3 fiscal 2026 was a solid quarter for HIVE. We delivered strong revenue, expanded margins, maintained a robust balance sheet. Our discipline, fleet expansion and cost control measures continue to position us well to compete in a challenging environment and capture opportunities for growth, both on the hashrate side and on the high performance computing side in our data centers. I want to thank our local loyal stakeholders and encourage them to continue to follow our dual engine expansion efforts both in Hashrate Services and HPC operations.
Nathan Fast: Thank you, Darcy. That concludes the presentation for today. We will now begin the question and answer portion of our call. Analysts on the line, if you could please click raise hand when you are ready with your questions. We will begin to choose and ask you to unmute. Our first question comes from the line of Darren from Roth. Darren, if you kindly unmute, the floor is yours.
Darren Aftahi: Good morning. Can you hear me?
Aydin Kilic: We can hear you. Yep.
Aydin Kilic: Got you. Yeah. Congrats on all the progress. Two questions, if I may.
Darren Aftahi: Just as you kind of you know, push forward on your on your HPC strategy, can you kind of maybe benchmark how you are thinking about the thought process of returns with AI cloud versus colocation, and maybe what specific metrics, whether it is payback period, return on invested capital, etcetera, that you are you are you are kind of making those decisions off of. Then second question, you mentioned in the, I think, release about New Brunswick, and you kind of mentioned specifically tier three hyperscaler. Is that put in there to sort of benchmark the level you want to build to, or do you actually have interest from hyperscalers? And I would be kind of curious about the level of interest there. Thank you.
Aydin Kilic: Yeah. Thanks for those questions, Darren. This is Aydin here.
Aydin Kilic: The ROI is typically on the GPUs are approximately two and a half years. After direct operate
Darcy Daubaras: Costs, and we have a lot of experience operating GPUs.
Aydin Kilic: Going back to the Ethereum mining days, moreover, having had AI cloud revenue on our income statement for the past three years, we had 38,000 NVIDIA A-series GPUs A40s, A6000s, A5000s, A4000s. We are still running 4,000 of those cards and 34,000 of those cards we were able to sell at 80 to 90% of face value, and that is what those proceeds went to upgrading and buying H100s and H200s. The point is do not just talk about it, we have done it and so we have seen that demand ebb and flow in GPUs, but they have strong residual market value. And so where you are able to ROI in call it, two and a half years, but have these cards potentially be worth 60, 70, 80% of their value after three or four years. We have seen a huge uptick in demand for H100s. As you have likely heard. And so the demand comes in two ways. One is the hourly rate that the GPUs rent for goes up. But in turn, the market price for people purchasing the GPUs goes up because people realize you can get more cash flow from them.
Aydin Kilic: So
Aydin Kilic: it is a attractive business, I believe, because if you have the proficiency to do so, if you have the cloud technology platform, which we have and we have demonstrated, and there will be a lot more, updates and exciting news to come as we bring more GPUs online and march towards that 11,000 GPU cloud target and hit that, you know, crest over that $200,000,000 ARR target. In the slides. We believe that it is an accretive business, because the residual value that the a a are aligned the GPUs plus you have GPUs that have strong residual value. So you come out ahead. So I think that
Aydin Kilic: Answers the first half of your question. The second half of your question, we actually talked about the conversion of New Brunswick in the previous quarter. We bought 32 acres of land adjacent to the site. Engineering design has been advancing since then and so we have been we have been in talks with groups that are interested. And so there are different ways to deliver power, power shell built to suit. And so I cannot get into any more specifics other than what we have already disclosed, but a sort of market rate of what gets us about a $130 a kilowatt a month for New Brunswick as a secondary. You have primary secondary markets. New Brunswick is a secondary market, and so that is where that run rate of approximately $80,000,000 ARR comes from. Do about 53 megawatts of IT load, but do stand by for updates. As we advance our designs.
Aydin Kilic: And
Aydin Kilic: our conversations. We just wanted to acknowledge to the street that that is moving forward. And is not to be forgotten. It is still part of the road map and part of the game plan, but stay tuned for more updates on that. Does that cover it all for you, Darren? It does. Appreciate it. I am You bet. Thank you. Thank you, Darren. Next, we will go to the line of
Nathan Fast: Fedor from B. Riley. Fedor, please unmute. Floor is yours.
Frank Holmes: Thank you very much, and good morning, good afternoon to everyone. I wanted to just, like, ask about current breakeven price for Bitcoin mining operations
Mike Colonnese: Assuming all in cost to mine not only power? And, additionally, I would like to understand how Bitcoin and current levels influences your capital allocation decisions for AI and infrastructure? And if you could outline your expected CapEx spending over the next one and or two quarters with any detail on the split between mining and AI HPC investments, also would be super helpful. Thank you.
Aydin Kilic: Yeah. Definitely, Fedor. So I think it is quite evident that 2025 is the year of scaling. Our Bitcoin mining business, having brought on the 300 megawatts in Paraguay, scaling to 25 exahash. So that reflects a lot of capital deployment in that business.
Aydin Kilic: Unit. And what you will note from our investor presentation,
Aydin Kilic: This that we just debuted and, of course, last quarter, this year, 2026, our focus is on scaling. The HPC revenue from $20,000,000 ARR to $225,000,000 ARR. So for 10x, and how do we accomplish that? Expanding the cloud, from 5,000 GPUs to 11,000 GPUs, which in my section, was detailed growing that revenue from 20 to $140,000,000 ARR. And then, of course, bringing on the conversion of New Brunswick to tier three
Aydin Kilic: HPC for hyperscale colocation, which at a $130 a kilowatt 53 megawatts of IT load gets you to about $80,000,000 ARR. So directionally, you can see where
Aydin Kilic: The capital deployment is being scaled. I do want to take a moment to acknowledge though that with OEM vendor financing on our GPUs, we are able to get lease-to-own. So effective equal lease payments over thirty months with a $1 buyout, so effectively a finance, with single digit interest rates which is very, very attractive. Nothing funky like some of our peers have done with pref shares and warrants and all this, you know, convoluted mezz financing. It is just very attractive. And once we have been able to scale that GPU cloud business course and with Bell AI Fabric Canada, that data center capacity we are building the cloud
Frank Edward Holmes: On
Aydin Kilic: Colocated premises with Bell. So, again, that allows us to operate a CapEx-light, high margin GPU cloud business. And so we do have the 100 megawatts in Paraguay that we announced, and we announced that PPA late last year. And so long lead is been ordered the substation, the design. So that is a long tail project because you know, of course, Bitcoin mining economics right now, we are looking at 30 to $35 hash price. So we, of course, are proceeding, very carefully. But what I do want to point out is just remind everybody that we had our recent press release where we sent where we are sending nodes to the large telco player in Paraguay. She could do a proof of concept for HPC AI. We are going to be launching GPUs out of an existing tier three telecom center in Asuncion, which is the capital of Paraguay, of taking meaningful strides to actually realize and bring HPC compute to Latin America by partnering with an existing data center oh, sorry. Telco provider with two or three data centers. Much like we found success doing that in Canada with Bell. We are doing it with the largest telco player in Paraguay. They are actually
Mike Colonnese: Owned by a
Aydin Kilic: Multinational NASDAQ listed company. So that is directionally where we are also taking things in Latin America. So 100 megawatts that we are bringing online, we are really looking at the ability to build the tier one infrastructure today. So the high voltage switchgear, all the power distribution and that infrastructure can be used for tier one. I.e. Bitcoin mining, or can be expanded upon with chillers and gensets and everything else that you need for tier three for future HPC conversion. So we are looking at evaluating a road map where we could do both in Latin America. But for right now, we are building the power infrastructure to power that additional 100 megawatts of land. But that is not massively CapEx intensive to buying compared to buying ASICs or certainly not building tier three. So I would say the biggest CapEx will be building out New Brunswick for converting it to tier three. Hope that answers your question.
Mike Colonnese: It does. Thank you very much. And just if you allow me to squeeze one related follow-up on Brunswick HPC facility, specifically, I would like to understand. You already outlined the total CapEx for this project roughly in previous broadcasts. But if you can outline current construction status and milestones completed to date for each related portion of the facility and what is remaining milestones and maybe spending. Thank you. CapEx for for this or next quarter just just to understand the CapEx
Nathan Fast: Not sure if we lost Aydin. Fedor, we will follow up with you after this. Yeah. No. No. I am here. So sorry.
Aydin Kilic: The question was, I do not know. Some I was put on mute for some
Aydin Kilic: Reason. The question was,
Aydin Kilic: What are the milestones for the New Brunswick tier three conversion?
Mike Colonnese: Yeah. Yeah. I just I just can I just can can quickly repeat? Pardon me. It is just like for specifically for HPC portion of the this data center, what is what is what is already completed to date, and what is what is the near term plan? With associated CapEx for next or next two quarters, let us say, this way. Thank you.
Aydin Kilic: Yeah. So, where what we have put out is we have worked we have bought the additional land. We are going through design development, so we have design and permitting underway for that site. The next step would be ordering long lead items.
Aydin Kilic: But beyond that, I do not want to provide
Aydin Kilic: Any more specificity at this time. We will provide the market with announcements as those milestones are realized. So that is what I got for you right now, Fedor. Good question. But I know you want to know more, but you have got to hang tight, buddy.
Mike Colonnese: I appreciate your feedback, and continue. Best of luck. Thank you very much. Thank you.
Nathan Fast: Thank you, Fedor. We have got time for two final questions. Mike from Northland, I know you have had your hand raised for quite some time. If you would kindly unmute. The floor is yours.
Aydin Kilic: Yeah. Hey. Thanks. First question is just for Aydin. If your OEM financing is for three years, can you talk a little bit about why you are signing two-year deals that mismatch? And then secondly, for Darcy, could you help us think about depreciation expense the next couple quarters?
Mike Colonnese: Because
Darcy Daubaras: We have a longer term.
Aydin Kilic: Your payments are less. So you cash flow better. Mike,
Aydin Kilic: And so we know that these GPUs have great residual value in the market.
Aydin Kilic: So at the end of the two-year term, we may elect to sell them for a gain.
Aydin Kilic: We could simply prevent them out. There is lots of optionality. That is all. But it is mostly you just want to structure payment so
Aydin Kilic: You cash flow nicely.
Darren Aftahi: Got it. And then on the depreciation, maybe?
Darcy Daubaras: Yeah. On the depreciation side, I think you can take a look at what we have got in for for the Q3 right now. For the nine months. As we have noted, there was some catch up depreciation in there. So if you sort of take the incremental amount that you have got from sort of Q1 to Q3, you can probably take that as running forward. Through Q3, we had all of our ASIC equipment up and running within Paraguay. So that is the best driver moving forward.
Aydin Kilic: Got it. Thank you.
Darcy Daubaras: Of course.
Nathan Fast: Excellent. Thanks, Mike. Gareth Garcetta from Cantor. Close us out with your final question.
Aydin Kilic: Hi, guys. I just wanted to dig in on any potential CapEx for the remaining GPUs you have at Manitoba.
Nick Giles: So I know you said about 500 have been or will be deployed in 1Q. So wanted to figure out kind of have the remaining 100 GPUs been purchased and if not, how are you thinking about the funding for those? And lastly, is there any CapEx on the data center side of things at Manitoba? Thank you. So the 504 the purchases of those were announced in November.
Aydin Kilic: And
Aydin Kilic: The leasing or contract
Aydin Kilic: Contract to term of those GPUs, was really announced last week. And so those GPUs should be, they are being delivered to the facility now.
Aydin Kilic: And they are expected to go live. Sort of the focus is to let the the street know that
Mike Colonnese: That
Aydin Kilic: First cluster, 63 node cluster, is being commissioned
Aydin Kilic: InfiniBand and, you know, all the bells and whistles and is going to be
Aydin Kilic: Live with the client. And, you know, this quarter ends March 31, so
Aydin Kilic: Very soon. We have got six weeks left in this quarter. And so I would say, you
Aydin Kilic: Know, standby for updates on that. And so once that first cluster is deployed, Gareth, then we intend to reload very quickly. And this model is shaping up to prove to be very successful. And so our is to reload and repeat as we rent a cluster get order another one, finance it in a similar way, get it delivered, rent it out, rinse and repeat. Hope that is helpful. What was the second half of your question?
Nick Giles: Just if there is any potential CapEx needed on the data center side of things at Manitoba. Nope. No. I mean, there was, some
Aydin Kilic: Deposits upfront, but that was all taken care of.
Nick Giles: Six months. Great.
Aydin Kilic: Yep. Yep. Thank you, guys. Thanks for sneaking me in.
Nick Giles: You bet.
Nathan Fast: Excellent. Thank you. That concludes our Q&A session. Our Q3 2026 earnings call. Thank you for joining. We look forward to sharing more exciting announcements very soon and speaking to you again
Aydin Kilic: Soon.
Nathan Fast: Thank you.